Operator: Good day and welcome to the Sensus Healthcare First Quarter Conference Call. [Operator Instructions] Please note, this event is being recorded. I would now like to turn the conference over to Kim Golodetz. Please go ahead.
Kim Golodetz: Thank you. This is Kim Golodetz with LHA. Thank you all for participating in today's call. Joining me from Sensus Healthcare are Joe Sardano, Chief Executive Officer, and Arthur Levine, Chief Financial Officer. As a reminder, some of the matters that will be discussed during today's call are forward-looking statements within the meaning of the federal securities laws. All statements other than historical facts that address activity Sensus Healthcare assumes, plans, expects, believes, intends, or anticipates and other similar expressions will, should or may occur in the future, are forward-looking statements. The forward-looking statements are management's beliefs based on currently-available information. Sensus Healthcare undertakes no obligation to update or revise any forward-looking statements except as required by law. All forward-looking statements are subject to risks and uncertainties including those risk factors described in the Company's Forms 10-K and 10-Q as filed with the SEC. During today's call, there will also be reference to certain non-GAAP financial measures. Sensus believes these measures provide useful information for investors, yet should not be considered a substitute for GAAP nor should they be viewed as a substitute for operating results determined in accordance with GAAP. A reconciliation of non-GAAP to GAAP results is included in today's financial results press release. With that said, I'd like to turn the call over to Joe Sardano. Joe?
Joseph Sardano: Thank you, Kim, and good afternoon everyone. We've had quite a lot of news during the first quarter and recent weeks. And of course one highlight we've been anticipating by the end of last year finally occurred in February. And that's the clearance of the Sculptura by the U.S. Food and Drug Administration. Sculptura is a cutting-edge modulated robotic brachytherapy intraoperative radiation therapy system that uses patented Beam Sculpting capabilities to treat various cancers during surgery. This technology not only will help doctors to sculpt exact areas of the body with radiation beam, but also will result in similar or better outcomes to current radiation treatments with much less damage to surrounding tissue. Soon after clearance, we made a second sale of the Sculptura system, this one to Rabin Medical Center, a renowned facility in Tel Aviv, Israel, that's focused on research and the latest technologies. This hospital also has our SRT-100 Vision to treat skin cancer and keloids. They are a big supporter of our technology. This sale along with the Q4 sale to the Perelman School of Medicine at the University of Pennsylvania and our subsequent research and development agreement with them is expected to provide important use data in a variety of indications including brachytherapy. We are very encouraged by these purchases from such prestigious institutions, and are gratified they view Sculptura as an important advancement in cancer treatment. We have manufactured additional systems and expect to sell those systems in the coming weeks to other luminary hospitals that will help us to generate additional data. We have staffed our oncology sales team, which now numbers seven people, in anticipation of a measured sales ramp through the year for this innovative product. We have already begun to experience increased activities in this area. With respect to SRT, we received fantastic news earlier this week. Premier has added SRT to its list of approved products under its brachytherapy product category for its members effective August 1st. Premier is one of the nation's largest group purchasing organizations which serves approximately 4,000 hospitals and health systems and about 165,000 other providers and organizations. This decision is the culmination of more than six months of work on the part of Sensus and will support our efforts to penetrate the hospital market. We are thrilled with this contract and also believe that SRT's inclusion while significantly validating our technology will also spur additional purchasing groups to add SRT. We will now begin work with Premier to secure inclusion of Sculptura at an appropriate time. I do want to mention that UPenn is one of Premier's members and they did - and they didn't need Sculptura to be added to the contracted list before purchasing the system. We are looking forward to the annual meeting of the American Society for Radiation Oncology later this year during which we will debut Sculptura. We continue to receive good news about the efficacy of SRT for treating non-melanoma skin cancers and keloids. In recent weeks, top line results from five-year retrospective study of non-melanoma skin cancer patients treated with SRT were announced. The study was conducted across four U.S. sites and showed a 98.9% cure rate among 516 male and female patients with 776 skin cancer lesions. Of note, this 98.9% cure rate is better than the reported cure rate for Mohs surgery. We intend to highlight this study in our marketing materials and expect that the cure rate will further strengthen the efficacy discussions for SRT. Recall that earlier - last December, we announced the results of a multicenter case series of patients treated with the SRT 100 following complete surgical keloidectomy. Of the 297 patients treated post cooperatively with superficial radiation therapy, there were only nine cases of observed clinical keloid recurrences or a recurrence rate of 3%. The results of the study were published in the November issue of SKIN, The Journal of Cutaneous Medicine. The keloid indication is an important one for Sensus as we now have more than 100 SRT systems being used for that indication. Our research studies for psoriasis and eczema are ongoing, and the results are expected to form the basis for marketing to physicians from both the SRT-100 Vision and the SRT-100+. As a reminder, these studies are being conducted at sites in Austin and Tallahassee. Results are expected to be published in early 2020. We continued to expand our footprint in Israel, the site of our R&D operations in particular for new laser products and for sales outside the U.S. We plan to expand our manufacturing capacity and have signed a lease for a factory near Tel Aviv. We expect to begin production there by the end of the year. We have appointed an exceptional scientist Dr. Ziv Karni as Chief Scientific Officer specifically for lasers and our development in that space. He is based in Israel. Dr. Karni is a pioneer in medical technology research and development with more than 30 years of experience in development of medical and aesthetic technologies. He joined Sensus from Alma Lasers where he founded and where he served as CEO, President and Head of Research and Development for nearly two decades. Prior to Alma, he co-founded two other laser companies, OrZiv and LBT. We look forward to Dr. Karni's guidance and expertise to help us rapidly expand our product portfolio across many different indications. Turning now to our financial results. The first quarter revenues were $5.4 million, which is down from $6 million in the first quarter of 2018. We sold 18 systems, of which eight were our premium feature-rich SRT-100 Vision systems. Our revenues were impacted as a key customer worked to shore up their capital position to support growth and that was faster than either they or we had expected. We made the decision to temporarily moderate sales to this customer, and not extend further credit. Financing now appears to be in place. And subsequent to quarter end, they paid down over $5 million of their outstanding accounts receivables. Although there is strong demand, we made the decision to recover the Q1 shortfall in sales to this customer over the next few quarters so as not to overwhelm our infrastructure. We expect to make up all lost sales and we reaffirm expectations for full-year double-digit revenue growth. Now I'll turn the call over to Arthur Levine, our CFO, for more detailed discussions of our financial results. Arthur?
Arthur Levine: Thanks, Joe. It's pleasure to be speaking with all of you today. As Joe, mentioned revenues for the first quarter of 2019 were down 9% to $5.4 million from $6 million for the first quarter of 2018. This was attributable to fewer sales of the higher-priced SRT-100 Vision during the quarter. In Q1, our worldwide installed base surpassed 400 units with more than 100 systems also being used to treat keloids. Gross profit for the first quarter of 2019 was $3.3 million or 61% of revenues, and this compares with $3.9 million or 66.2% of revenues for the first quarter of 2018. Decrease in gross margin was mainly due to a shift in product mix. As we've previously stated, we expect that our margins in 2019 will be in the low-to-mid-60s. Selling and marketing expense for the first quarter of 2019 was $2.5 million, up from $2.2 million for the first quarter of 2018. The increase was primarily due to higher headcount. As I discussed on our last conference call, we expect that selling and marketing expense will continue to increase in 2019 from additional hiring of sales reps and marketing activities in support of our MRB-IORT product launch. Note also that sales and marketing expense in Q1 reflects expenses associated with two large trade shows that occur in the first quarter. So first quarter marketing expenses tend to be higher. General and administrative expense for the first quarter of 2019 was $1 million compared to $1.3 million for the first quarter of 2018. This was due to a one-time stock compensation expense of $0.4 million in 2018, offset by other net increases. Research and development expense for the first quarter of 2019 was $2 million compared with $1.5 million in the first quarter of 2018. The increase in R&D was mainly due to expenses related to FDA clearance of Sculptura in February as well as the ramp up to production and additional R&D costs in Israel. We expect total 2019 R&D expenses to be higher than 2018 as we complete the ramp up to production of the Sculptura, add more features to the Sculptura product based on feedback from luminary sites, and continue developing our next-generation lasers. We reported a net loss for the first quarter of 2019 of $2.1 million or $0.13 per share compared with a net loss of $1.1 million or $0.08 per share for the first quarter of 2018. Adjusted EBITDA for the first quarter of 2019 was negative $1.9 million compared with negative $0.5 million for the first quarter of 2018. Adjusted EBITDA is defined as earnings before interest, taxes, depreciation and amortization, and stock compensation expense. Our cash and investments totaled $11 million as of March 31st 2019 compared with $15.4 million as of December 31st 2018. During the first quarter, we raised $2.7 million from the exercise of IPO warrants, which expire on June 8th 2019. As a reminder, the strike price on those warrants is $6.75 per share. Our accounts receivable at March 31st 2019 was $16.9 million compared with $13.1 million at December 31st 2018. Subsequent to the end of the quarter, Sensus collected $5.5 million in outstanding receivables. We continue to have no long-term debt and the $5 million credit facility is still unused and available to us. With that, I'll turn the call back over to Joe.
Joseph Sardano: Thanks, Arthur. We believe that the second half of the year will be strong aided by a number of items including a resumption of substantial sales to an important customer. In addition, we are exploring ways to work with existing multi-site customers to help them purchase multiple units. Note that like many practice areas, dermatology is quite fragmented and clinics are starting to consolidate. We want to be able to offer solutions to customers desiring to contain capital expenditures and we hope to be able to share more information with you on these initiatives during our next quarter conference call in August. In the meantime, we are well positioned for growth. We have efficacious products that fill unmet needs that provide physicians with important treatment options. With respect to non-melanoma skin cancers and keloids, we still have an enormous untapped market with some 14,000 dermatology practices and 1,000 Mohs surgery clinics in the U.S., not to mention further 6,500 plastic surgeons, 5,500 radiation oncology. The contract with Premier will support our hospital efforts, Sculptura will carry a list price of $1.5 million and has tremendous potential to improve cancer care. We have built a talented management team in sales, marketing and clinical development, and engage additional international distributors. Thank you for your time and attention, and operator, we're ready to take questions.
Operator: [Operator Instructions] Our first question comes from Andrew D'Silva of B.Riley FBR. Please go ahead.
Andrew D'Silva: Just a couple of quick ones. I'll start with some bookkeeping ones for you Arthur. If you could just please let me know cash flow from operations and CapEx for the quarter. And then a while you're pulling that, Joe, as you know we did a little digging on what's kind of going on the turnkey side of the business. And just some of - I guess the number of units that were placed with - Vision units placed during the quarter really didn't align with some of the - like market trends that we were seeing as far as hires and expansion into new regions. Could you maybe help me bridge that gap, figure out how to better home in what we were doing?
Joseph Sardano: When you say hires, hires from us or from the other side of the business?
Andrew D'Silva: From your turnkey partner.
Joseph Sardano: Okay. We're seeing that the hiring is on the upswing there. Correct?
Andrew D'Silva: Yes.
Joseph Sardano: Okay. So let me explain to everybody so that - we know that the questions are going to come up, but at the very end of the quarter, we were manufacturing and distributing and selling, and delivering products to our best customer. And the target for the quarter was around 15 systems to go out the door. Eight systems have gone out the door and very close to the last day or the final day of the quarter, we were made aware of the fact that our customer was working with some financial institutions to secure additional funding and financing to support their strong growth and to support the growth and the people that you mentioned, Andy and all the other things that they're growing up. And when we heard of that, and they're up upfront. We're working very closely together. Our communications are very, very good. We decided not to shift all of the systems that were required because we felt that they needed to get their financing in place and we didn't want to put any more risk or pressure on our accounts receivables at that point. And I think that both sides agree that this was a good way to go until they finalized their agreement. Unfortunately, they didn't get it finalized on time and they've been working on it for extensive time to try to get it done before the end of the quarter. So we made that decision at the very last minute. We've probably got an hour left in the last day of the quarter and that was the decision that we made. And consequent to that, they gained all of the financial approvals that they've had from the bank. And as Arthur mentioned, they satisfied $5.5 million which came to our banks shortly after the close of Q1. Unfortunately, we didn't make it before the end of the quarter. Unfortunately, we made that decision to hold back, but I think it was the right decision for us whether it was a short-term hit on our numbers for Q1. But I think long term, it's going to help us. And I don't think they were going to lose out on any business over the course of the year and I think they will end up recoopering most of that business anyway as we're moving forward. When you're looking at the short, on what we were expecting, what the market was expecting, what the field was expecting, you're looking at about seven systems. We think that we can make up those seven systems over the course of the next three quarters.
Arthur Levine: Andy, to answer your question. We used around $7 million in operations. However, if you take into account the over $5 million that was collected on the receivables shortly after the end of the quarter, we used less than $2 million. And I can tell you that the majority of what we used in cash during the quarter was balance sheet related to build up inventory.
Andrew D'Silva: On CapEx?
Arthur Levine: CapEx was extremely small number for the quarter. Almost nothing in this quarter.
Andrew D'Silva: And then just following up, Joe, on your comments, as it relates to the delta between those 15 and the eight that were shipped of the Visions, have the seven additional systems been shipped now that they've secured the financing, or do you think that the headwinds related to the partner would carry over into the second quarter?
Joseph Sardano: No, I don't think so. That's not what we believe or what we understand. And we feel that those seven units will be installed over the course of the next several quarters. We're not going to - the second quarter, there's going to be some heavy activity we feel as well, but we'll be able to catch up the inventory as we're moving along, as far as installations. You have to remember that once we accept orders then we have to schedule shipments and deliveries and then you also have to schedule your people to be there on certain days to train those facilities, train the doctors and all of the other extenders. So we have a limited number of people in that area and we want to make sure that we don't skip out on any trainings that we need to have because the training is extensive. So we want to make sure that we follow through and we're going to stick to those schedules to make sure that the training is right because that's what we've done in the past and it's done and it's been very, very good for us. So there's going to be a little wait for it for some of the customers but we'll catch up.
Andrew D'Silva: And last question just related to Sculptura if you could. Once you move past the initial KOLs and academic institutions, you've noted that that we should expect prices to increase and margins to as well. Have you narrowed down the gross margin part of that? And then was the sale of the Sculptura during this quarter is similar from a metric standpoint to the one that you placed during the fourth quarter?
Joseph Sardano: Yes, it was similar. And our targets for Sculptura are to be in the same range that we've been exercising or experiencing over the last several years with the low 60s to mid-60s as far as the margins. So that's what we're targeting. So we still have a couple of luminaries to go and I'm sure you can imagine the selling cycle being intense, very long and customers wanting to get their paperwork to us but the process that they have prohibits them from getting us the paperwork yesterday. So we keep pushing for tomorrow. But I think that overall, it's getting the program down right with the right luminary accounts and the KOLs. I think that the market is going to be extremely pleased with the names and the quality of the KOLs that we're going to be bringing on because of their receptivity to the product. So I think we're going to impress a few people when we start evolving the names when the orders start coming through and then when we even start getting the regular orders. We're trying to push with many accounts to try to develop that sooner rather than later. And we're hoping to get some exercise of those orders before the end of the year. But all I can tell you is that the progress keeps moving forward. The prospect list keeps getting larger and our sales team is getting bigger because we need the manpower to get out there and to make the presentation. So we're very, very excited for the feedback that we're getting from the KOLs and we're excited for their excitement in wanting to get their hands on the equipment.
Operator: Our next question comes from Anthony Vendetti of Maxim Group. Please go ahead.
Anthony Vendetti: Most of my questions have been answered, but on the Sculptura, Joe, if you could just talk a little bit about the pipeline. I know you said at the end of the last question that still trying to get it out into some of the key KOLs. But does the pipeline for the commercialization still look robust for - as we move into the second half of '19, the ability to potentially - between the KOLs and maybe some new customers place five or six of these before the end of the year?
Joseph Sardano: To start at the end and working backwards, yes. The answer is yes. We still are looking at the four to five Visions placed before the end of the year. And we're pushing very, very hard to try to accelerate that so that we even have some regular what I would call customers buying at the targeted prices that we're looking at before the end of the year. But we have to remind ourselves and I would tell you that we have enough interested parties to make all of that happen. Now it's a question of how do we get it through their process. And I wanted to remind everybody that there's really three areas of budgeting if you will, cycles of budgets that hospitals go through that. You have July 1st, you have October 1st and you have January 1st. So July 1st, if there's anybody that's going to cancel an order that they have with an MRI or with a CT scan or something like that and they want to shift it to our product, of course we're going to accept that. But the likelihood of somebody else who's been working on those things for the last year or two to get it in the budget and for the hospital to want to change all of a sudden by July 1, it's going to be rather short. I don't think that that's going to happen in a lot of cases, although we've been talking to people as you know, late into last year. So we do have some people that have been looking at this namely the KOLs and we expect to fulfill what we've been talking about with those KOLs for this year. And hopefully we'll see some significant orders with some significant names within the next three to six months. And then we keep pushing for the other folks as well that want to buy the product because of the capabilities of the product. And so if we get lucky there's a few hospitals that might be able to bring it in but we're not anticipating that. We can't push that system. They're going to try to push it and we'll push as hard as we can with them. But if they get lucky, if we get lucky, there might be a couple that pop up before the end of the year but I'm not counting on it. And when I say that, that's above and beyond the four and five we were talking about with the special KOLs.
Anthony Vendetti: Okay. And then did you say that by the end of the year, you hope to have your manufacturing facility in Tel Aviv up and running?
Joseph Sardano: Correct. The lease has been signed. We have taken custody if you will of the facility. I'll let Arthur discuss that because he just came back from Israel. He was there to sign the lease.
Arthur Levine: Yes, there is - our lease was effective April 1st. But as you would expect, there is a significant amount of work that has to be done to improve the facility and to get some local permits and other formalities taken care of. So we're - that's why we're getting a date at the end of the year which is almost eight or nine months out because it's going to take us several months to get ramped up in the factory there. But we're moving ahead and we've started to hire. We've hired a Director of Manufacturing and we're going to hire some other people there as needed in order to get the factory up and running by the end of the year.
Operator: [Operator Instructions] Our next question comes from Alex Nowak of Craig-Hallum. Please go ahead.
Unidentified Participant: This is actually Will on for Alex today. Pardon if this has already been covered. We had to hop between calls here. So just a couple for you. First, AMA proposed to eliminate the existing SRT code 77401 and replace it with three separate codes. So now the idea that the combo of the codes could be reimbursed higher than SRT is today. Your thoughts on this, if this is a big deal. It certainly looks like it's the first step to move reimbursement higher. Thanks.
Joseph Sardano: You're absolutely right. We still are expecting and anticipating a reevaluation of the codes that will give our physicians a better reimbursement. We are hoping that it's sooner rather than later, but we know that it's not going to be any later past 2021. We're trying to push as hard as we can to see what we might be able to realize by 2020. But I don't bet on the government moving as fast as we would like them to move. But clearly there is an expectation. Now I can tell you that over the last 60 days, I've had two visits with Michael Sardano and myself, as well as several doctors that we've brought. We've met with the people at the CMS and we don't see any reluctance on their part in not moving forward. We don't see any disagreement and we don't - and we see the acknowledgement that something has to be done. So it's a matter of when. That's the big question that we can't answer. But we don't see any roadblocks in trying to develop better reimbursements for our customers, because it's overdue and everybody admits it, everybody knows about it. So again just to reiterate, the last time that the main code was revalued for this - for SRT was in 2002. By statute, they have to reevaluate every five years. So they've missed out on a few. So we think that it's going to be a relevant and significant opportunity for our customers and for ourselves. Ultimately, it benefits patients.
Unidentified Participant: It's great to hear and understood. Separately, on reimbursement too, CMS also required the MACs to properly reimburse the existing SRT code along with the E&M codes. Is this a positive tailwind that you're seeing in the space?
Joseph Sardano: Very, very big. E&M codes were not being reimbursed by the MACs-run Medicare and Medicaid in the various states. And so the doctors were not getting the benefit of those reimbursements. And just to give you an idea of what an E&M code is, there's three or f our E&M codes that are at various stages. So if a patient walks into a physician's office and has a PA or a nurse practitioner or medical assistant meet with that patient to discuss how they're doing, so on and so forth, there's a certain reimbursement code that they use for that and they get paid x, let's say. If the doctor does it where the doctor is meeting with the patient, which is 99% of the time and going through the routine of asking the questions how they're feeling, what they're doing, checking the blood pressure and things like that, there's a x-plus factor involved in that reimbursement. And that happens every time the patient comes in for a treatment. So it's pretty expensive, it's a lot of money for the physicians to be able to do that. And now with the reinforcement of CMS saying, no, the MACs must reimburse this, the doctors have access to this and they deserve to get these dollars, that's a big, big opportunity for doctors.
Unidentified Participant: Finally for me, I guess, Joe, if you could just provide a little more color - and again, sorry, I kind of jumped on a little bit late so apologies if this was covered, but just a little more color on what's going on with SkinCure. Just communications between Sensus and SkinCure, and maybe just how you plan to mitigate this more concentrated customer in the future. Thanks again.
Joseph Sardano: Listen, I appreciate the questions and I want to make everybody realize or understand that this is a very good relationship. This is a very good customer. We've helped the customer develop a lot of their business. Then of course they've countered by being loyal to the product, to Sensus and everything else. So as they continue to grow. they're going to have to continue to hire more people. And when you look at the volume of patients that they're doing, the number of people that they have, they have probably 3x as many personnel as we do. We have about 50. They've got about 150 to manage every one of those sites and to operate the equipment at every one of those sites. So they've got a big responsibility in the hiring side. They've got a big responsibility on the purchasing side. And they've got a huge responsibility on the operations side. So when you include all of that, they've got a big road to haul here and they have been working on additional financing for a long time. Unfortunately, it didn't come through on time for us. But I think that we're not going to lose business because of it. They're not going to lose momentum because of it. But as a management team, I think we decided that we were going to hold back so that we didn't put that kind of pressure on our accounts receivables because I think it's extended enough. And I think that over the course of the next few months, we'll have an opportunity to work even closer with the SkinCure to work on sides of the agreement that will hopefully help us work through some issues that are very, very important to us as well. So I think that everything is going to be even more solidified in the future as we continue to grow together.
Operator: Our next question comes from Yi Chen of H.C. Wainwright. Please go ahead.
Vernon Bernardino: This is actually Vernon on for Yi. I've been hopping between calls. Apologies if already been asked. My first question is, is the experience with that key customer in the first quarter 2019 likely to recur in the coming quarters?
Joseph Sardano: Well, that's something that we have to make sure doesn't happen, because that's - it's not pleasant. That's not been our motto. It's not been our DNA over the last 13 quarters. So this is not something that we're happy with. But I think again we made the right decisions at the right time to make sure that we protect the Company, ourselves and our customers. And I think that we'll be able to move forward just as aggressively as we've had in the past.
Vernon Bernardino: The other question I had was, in the third quarter of 2018, also had 18 systems shipped but at a higher top line revenue. I guess that is probably due to more SRT-100 Vision systems were shipped in the third quarter 2018. Is there a trend that fewer customers are buying the Vision system and more customers are buying the SRT-100 and SRT-100+ systems?
Joseph Sardano: I don't think that's the case. You're comparing what happened in Q3 of last year when everything was being ramped up as we were continuing to grow our business, not just with SkinCure, outside of that as well. So we feel that having a primary product in skin cancer and keloids with the SRT-100 Vision, that's the product that we want to push. That's the one that has the bigger price tag to it and that's the one we want to keep selling. So it's not that we have a secondary product. We have a family of products, but clearly we're going to push the bigger product. And we're happy to say that based on that push, we're seeing customers buying that product because they see the value of the extra features that are included in that product. So I don't think that it's a comparison at all, but I think it's definitely a way to show growth from Q3 of 2018 to 2019, and I think that we'll see a big difference when you're going to look at Q3 2019 versus Q3 of 2018.
Vernon Bernardino: I have just one more question. Could you clarify whether the expected double-digit revenue growth mean percentage
Joseph Sardano: No, we haven't done that. But I think that - again we've gone over this several times. If we look at the past and what we're targeting for the future, it's all in line.
Operator: We are out of time. I would like to turn the conference back over to Joe Sardano for any closing remarks.
Joseph Sardano: Okay. Thank you everyone for being on the call. So in closing, I want to thank you all for this time and interest in Sensus. And I'd like to mention that we'll be presenting as to B.Riley FBR annual investor conference in Beverly Hills on May 23rd and at the Raymond James Life Sciences and MedTech Conference in New York City on June 18th and 19th. So we hope to see everybody there. And I also want to remind everybody that it's skin cancer awareness month. Wear your sunscreen. And with all that being said, thank you so much and we look forward to talking to you in the near future. Thank you.
Operator: The conference is now concluded. Thank you for attending today's presentation. You may now disconnect.